Operator: Good day, everyone, and welcome to the Guess Fourth Quarter Fiscal 2025 Earnings Conference Call. I would like to turn the call over to Fabrice Benarouche, Senior Vice President of Finance, Investor Relations, and Chief Accounting Officer. The floor is yours.
Fabrice Benarouche: Thank you, operator. Good afternoon, everyone, and thank you for joining us today. On the call today with me are Carlos Alberini, Chief Executive Officer, and Dennis Secor, Interim Chief Financial Officer. During today's call, the company will be making forward-looking statements, including comments regarding future plans, strategic initiatives, capital allocation, and short and long-term outlooks. The company's actual results may differ materially from current expectations based on risk factors included in today's press release and the company's quarterly and annual reports filed with the SEC. Comments will also reference certain non-GAAP or adjusted measures. GAAP reconciliations and descriptions of these measures can be found in today's earnings release. Now, I will turn it over to Carlos.
Carlos Alberini: Thank you, Fabrice, and thank you all for joining us for our Q4 fiscal 2025 conference call. We are pleased to report to you on our fourth-quarter and full-year results as well as share the progress that we have made against important operational, strategic, and financial objectives that support our goal to drive sustainable revenue and earnings growth. As we reflect on the past year, it was a year marked by significant accomplishments. To name a few of these, we completed our acquisition of rag & bone with WHP Global. This was the first brand acquisition in our 44-year history as we begin to leverage our powerful operating platform across more brands. We launched our new brand Guess Jeans globally to attract a new younger customer, offering an entire collection inspired by our rich archives, providing denim that is affordable yet sustainable. We signed a partnership agreement with the Tata Group to represent Guess Jeans in India. We launched an aggressive plan to expand the awareness and distribution of the Guess brand in India, closing the year with 22 new stores in the market. With Paul's leadership, we renewed our Guess handbag license with Signal, cementing that important partnership until 2039, which represents a large license under very favorable terms. In addition, we signed a new licensing deal with them to produce handbags for rag & bone. We entered into a joint-venture agreement with our partner in the Middle East, the Chalhoub Group. We internalized the development and distribution of our outerwear and dresses businesses, previously licensed to G3. And we began partnering with GXO Global in the US to manage our US distribution to drive operating efficiencies, and also sold our US warehousing facility to free up capital. At the same time, our team made progress on a number of fronts. We also continued to navigate a challenging environment. As we have discussed through the year, the Red Sea crisis disrupted the flow of goods and increased shipping costs and transit times. Globally, consumers have faced significant inflationary pressures, tempering demand for more discretionary products. Traffic declines into our retail stores have persisted, and the strength of the US dollar has impacted both our revenues and margins. Throughout the year, we remain nimble and we adapted, managing the business to mitigate most of these external factors, delivering products on time and maintaining healthy margins. There was much to be proud of as well as much opportunity for improvement, and we are excited entering fiscal 2026 with a strong plan to capitalize on our successes and address several breakthrough opportunities. So, let me get more into the details, starting with our operating results for the fourth quarter. In the quarter, consistent with our expectations, we grew revenues by 5%, reaching $932 million. Adjusted for currencies and last year's extra week, our total company growth would have been 14%, a substantial difference. Within that 14% of growth, rag & bone represented 9 points and our core Guess business contributed the other 5 points. From a revenue standpoint, our core Guess business performed near the upper end of our expectations with the strongest performances coming from our wholesale businesses. In Europe, wholesale grew mid-single digits despite the strong currency headwinds and one less shipping week versus last year. The Guess brand continued its strong momentum among our thousands of wholesale customers in the region, and we continue our optimism for this year with our order book for the fall-winter collection having closed with a 7% growth. In Americas wholesale, the Guess brand also performed well, exceeding our expectations for the quarter with double-digit growth fueled by greater shipments of several core product categories as well as the direct operation of our outerwear business, which previously was operated by G3 as a licensed business. In our European retail business, revenues came in within our expectations and we delivered a constant-currency comp increase of 5% as improved conversion, AUR, and units per transaction more than offset a year-over-year decline in store traffic. Our licensing business exceeded our revenue expectations, growing 18% in the quarter, fueled by strong performance of footwear, fragrances, handbags, and eyewear. Our Americas Guess retail business did not meet our revenue expectations for the quarter. Traffic headwinds, coupled with a decline in conversion, resulted in an overall 14% constant-currency comp decline in our US and Canadian Guess stores and e-commerce. Our Guess Asia business performed at the lower end of our revenue expectations with a revenue decline in the upper teens, with declines in most of our Asian businesses, most notably in South Korea and China, where traffic to our retail stores remained challenging. These declines were partially offset by the expansion of our India business. Moving next to our product performance, we experienced different levels of performance across each region. In Europe, accessories sales increased with strong performances in both handbags and fragrances. Women's apparel also grew with active wear, outerwear, knit tops, and denim delivering the strongest increases. Both footwear and our men's businesses posted modest declines. In the Americas, both our women's and men's businesses were down as were accessories and footwear. One product category that performed relatively well was women's active wear, driven by woven pants and skirts. Turning to rag & bone, the business outperformed our revenue expectations, mainly driven by strong e-commerce performance, and we continue to be pleased with the progress that we are making and with the collaboration of our two teams. Regarding fourth-quarter total company margins, we delivered gross margin of 44.1%, below our expectations, mainly driven by slightly higher markdown pressure and unfavorable currency impact. Total company adjusted SG&A increased 11% and was in line with our plan. The increase reflects the addition of the rag & bone infrastructure as well as planned increased investments in marketing and advertising. Our marketing and advertising spending more than doubled in the quarter and supported investments in our Guess brand, rag & bone domestically and abroad, and in Guess Jeans. These investments are designed to build stronger brand awareness and enhance customer engagement. In the quarter, we delivered adjusted operating profit of $107 million and an adjusted operating margin of 11.4%, which was below our expectations and reflects our lower-than-anticipated gross margin. And we delivered adjusted earnings per share of $1.48 within our expectations, given a lower tax rate for the quarter. In all, for the full year, we grew revenues by 8% in US dollars to $3 billion. In constant currency, we grew revenues by 10%. We delivered adjusted operating profit of $180 million and an adjusted operating margin of 6%. We reported adjusted EPS of $1.96. While we certainly take pride in many aspects of our operating performance this year, we are disappointed to have fallen short of the earnings goals that we set for ourselves at the beginning of the year. As we look to fiscal 2026 and the future, we are focused on key strategic initiatives to strengthen our organization, improve brand awareness and customer engagement, increase retail store and e-commerce productivity, build a more efficient infrastructure and optimize our business model to improve profitability and return on invested capital. In addition, we have many opportunities to grow our business, and we are well-positioned to leverage them in the near and long-term. I will now spend a few minutes on each of these initiatives. I will start with our organization. We are very pleased that Alberto Toni will be joining our team as Chief Financial Officer starting in June. Alberto brings with him a strong global financial and operational background, including 17 years with a high-necking company where he progressed through multiple financial roles. He subsequently spent several years as CFO of the Bata Group and most recently as CFO of Flos B&B Italia Group. Alberto will be based in Lugano and will lead our finance team globally. I'm also very pleased to welcome Lorenzo Maria Di Vecchio to the position of General Counsel, also based in Lugano. Lorenzo spent the last five years with a Christian Dior Couture company, most recently as General Counsel for the EMEA region. In addition, we have reorganized and have promoted Ufuk Memoglu to Chief Commercial Officer for Europe and Asia. Ufuk currently leads our business in many markets across Europe and Asia. Ufuk has been with Guess for nine years and has progressed with significant added country responsibilities. We have also promoted Vladimir Romanov to Chief Merchandising Officer for EMEA. Vladimir has also been with Guess for nine years, developing and running our business in Russia and Kazakhstan. He brings outstanding leadership qualities and product knowledge. He will also be based in Lugano and will oversee our retail buying, planning, store development, visual merchandising, and the retail operations teams. Regarding our marketing initiatives, we are committed to continuing to invest in our brands to expand global awareness and to improve customer loyalty and frequency of shopping. In North America, in particular, we are focused on improving customer engagement and traffic to our stores and online. We know that 80% of the customers visiting stores perform extensive research online prior to their visits. So having a meaningful presence in social media is critical to influence customer choice and behavior. We have engaged General Idea a full-service creative agency to tap into this opportunity. This project is ongoing, and we expect implementation will begin in July this year. Nicolai Marciano is leading this project internally. We are also implementing a new CRM system in Europe, and the early results have been encouraging. Last, we have been testing new imagery and navigation in our websites and social media channels, and focusing our marketing efforts and resources at a more local level with good initial results, including improved conversion. Regarding our retail store productivity, we are focused on product, pricing, visual merchandising, and customer experience. We plan to develop exclusive products for the direct-to-consumer business, leveraging a speed-to-market model to address current trends and the replenishment of best sellers more effectively. As part of our efforts to optimize assortments per store, we will work with a more sophisticated store clustering model that will consider specific customer interest, price sensitivity, weather characteristics, and casual versus dressing preferences. Regarding pricing, we identified opportunities to expand our offering of products at entry price points in several categories. We strongly believe that today's customers are a lot more price-sensitive and will respond well to quality products offering strong value for the price. Last, we plan to optimize the use of store selling space with enhanced visual merchandising and proper space allocation based on category potential. We are currently developing a new store concept that addresses these opportunities. Most of these initiatives should also benefit our e-commerce business. While some of these initiatives will be implemented as early as the second quarter, we expect to see the full impact of this initiative in the second half of the year. My next point is about our infrastructure and expense optimization. Our global presence is significant, requiring a sizable cost to run the business and new investments to continuously upgrade our capabilities. We currently have two distinct infrastructures that support our different businesses in the US, Asia, and Europe. We are exploring the potential integration of these networks, which we believe can have a significant positive impact on our cost structure and profitability over time. We are also continuing to optimize our business portfolio. In connection with this, let me talk about our business in Greater China. We expect that this business will lose approximately $20 million this year. In spite of how challenging this market has been for us over the years, we continue to believe that there is an opportunity for the Guess brand in Greater China, as our brand awareness is high and the market is very large and compelling. We plan to turn this business to a third party to run it. We have already met several potential candidates for consideration. We expect for this transition to be completed before the end of this year, which should contribute to a significant improvement in our profitability in fiscal year 2027 and beyond. In addition, in North America, we see an opportunity to exit non-strategic and profitable Guess full-price store locations and consolidate some of our infrastructure supporting that business. We expect to reduce our North American store fleet by roughly 20 stores by the end of the year, with some of them closing this year at their natural lease end. The US and Canadian markets continue to be critical to our long-term strategic vision for the brand. So we plan to maintain a significant retail presence with stores in key cities and markets. Taken together, these two initiatives are expected to unlock over $30 million in operating profit starting with next fiscal year. Let me now touch on growth. I believe strongly in our company's long-term opportunity to grow our revenues organically. First, starting with our direct-to-consumer business, the work I just mentioned to attract more customers into our stores and to our websites and to improve the productivity of our assets should impact our top-line performance meaningfully. We have great store locations in key markets, and our sales productivity is below the benchmark set by best-in-class operators in the same malls or commercial areas. Similarly, our e-commerce penetration relative to our total direct-to-consumer business is also lower than for the best online performers. Second, we continue to plan growth with our wholesale business after many years of consistent expansion. Paul and the creative teams have done an outstanding job strengthening our product offerings, both internally developed and licensed products. As a result, many mature product categories continue to deliver solid growth such as handbags, footwear, outerwear, dresses, and denim products to name a few. Others are at their inception such as athleisure, men's accessories, luggage, and fragrances. Third, we see significant opportunities for revenue growth in existing markets such as Germany, Poland, Mexico, and Central and Eastern Europe. And in new or underdeveloped markets such as Middle East, India, and Latin America. And last, our new brand initiatives with the Guess Jeans and rag & bone can contribute sizable revenue growth in spite of the significant magnitude of our current sales base. All-in-all, we see multiple opportunities to grow our revenues in the years to come. Looking at key growth drivers for fiscal 2026, first, we expect rag & bone will continue to contribute significantly to our topline growth, both as we operate for a full 12 months and also as that business continues to grow organically. In addition, as I mentioned earlier, we have entered into a joint-venture agreement with the Chalhoub Group, our current licensee, to directly manage our business in the Middle East. Through that arrangement, we will enjoy the benefit of the full retail business and our revenues, which should contribute meaningfully to growth in the year. In Europe, we expect our Guess business will continue to grow, especially in our wholesale business, where we believe we have been gaining share for the last several years. As I mentioned earlier, we recently closed our order book for the fall-winter season this year with orders up 7% to last year's fall-winter season. And additionally, we expect Guess Jeans to also contribute to this year's growth as we expand within the distribution that we already have opened as well as expand that distribution, including new stores in both Tokyo and on Melrose Avenue in West Hollywood. And that brings me to our outlook for fiscal year 2026. We are expecting to achieve revenue growth in the range of 3.9% to 6.2%. Adjusted operating margin between 4.5% and 5.4% and adjusted earnings per share in the range of $1.32 to $1.76. Let me clarify that this guidance does not include the impact of the US tariffs announced yesterday. While our earnings could certainly be impacted, let me share a perspective on how tariffs may affect our results. First, we operate a very diversified business model geographically. Roughly 75% of our business is conducted outside of the US and therefore, not subject to increased tariffs. Now with respect to the remaining 25%, our estimate of the cost of the products that we directly produce and distribute in the US is roughly $200 million. About one-third of this total relates to rag & bone, which attracts a more affluent customer, which gives us greater flexibility and pricing power. The remaining two-thirds of that relates to the Guess business in the US where we have a substantial outlet business. Based on the nature of the products that we carry in our outlet assortment, we feel there are significant opportunities to counter source these products and markets, especially in Latin America where the tariffs announced tend to be more moderate. To close, this past year, we navigated a challenging environment and made significant progress in executing our plans against important operational, strategic, and financial objectives. On behalf of Paul and myself, I want to thank our teams all over the world for their hard work and their great contributions. As we enter fiscal year 2026, we are excited about our growth opportunities. We are focusing our strategic initiatives on increasing direct-to-consumer sales productivity globally and improving profitability through business and portfolio optimization. We remain fully committed to maximizing our potential and creating significant value for our shareholders in the years to come. And with that, I will hand over to Dennis to review the results in more detail and share our outlook. Dennis?
Dennis Secor: Thank you, Carlos, and good afternoon. As Carlos mentioned, Q4 revenues increased 5% in US dollars, reaching $932 million, driven by the acquisition of rag & bone, comparable growth in our core Guess business offsetting a 4-point currency headwind and a 5-point headwind from last year's extra week. In Europe, we grew US dollar revenues by 2%, reaching $494 million. Adjusting for the negative impacts of both the currency headwinds and last year's extra week, revenues would have grown 13%. Retail comps, including e-com, were flat in US dollars and up 5% in constant currency. In constant currency, our stores delivered a comp increase of 4%, and e-com delivered 8%. Our European wholesale business continues to perform well with constant-currency double-digit growth despite one less shipping week. We're very pleased with the trajectory of this business and the strong sales momentum in our wholesale partners' businesses. The adjusted operating margin in our European business was 15.4% 260 basis points lower than a year ago, driven by higher selling, occupancy, and infrastructure costs, increased marketing investments, and the addition of rag & bone, all of which more than offset the benefit of a lower level of markdowns. In Americas retail, revenues grew 4% in US dollars, reaching $255 million. Adjusting for the negative impacts of both the currency headwinds and last year's extra week, revenues would have grown 9%. The segment's growth was driven by the addition of rag & bone's retail business, more than offsetting the declines from the core Guess business, where our US and Canadian stores posted a 13% constant-currency comp decline. Including our e-com business, the US and Canada comp decline was 14%. Americas Retail posted an adjusted operating margin of 8.9%, a 610-basis-point decline from last year's fourth quarter. That margin decline was driven primarily by deleverage on the fixed cost base given the comp declines, more markdowns, and higher store costs. Partially offset by an increased IMU. In Americas wholesale, revenues increased by 63% in US dollars to $81 million, driven by the addition of rag & bone along with higher Guess shipments in the US and in Mexico. Adjusting for the negative impacts of both the currency headwinds and last year's extra week, revenues would have grown 76%. The growth in the US Guess business was mainly driven by higher shipments to off-price accounts as well as the direct operation of our outerwear business, which last year was operated as a licensed business. Adjusted operating margin was 12.8%, roughly 16 points lower than last year's Q4, driven mainly by the addition of rag & bone along with lower product margins. In Asia, revenues decreased 15% in US dollars to $70 million. Adjusting for the negative impacts of both the currency headwinds and last year's extra week, revenues would have declined 4%. We saw declines in most of our Asia businesses, most notably South Korea and China, offsetting the expansion of our India business and the addition of rag & bone. Retail comps, including e-com for the region decreased 11% in constant currency. Our adjusted operating margin in Asia was 1.3%, 350 basis points lower than last year's fourth quarter, mainly due to deleverage, including the loss of last year's extra selling week and lower product margins. And finally, our licensing segment revenues grew 18%, and segment operating margin was 94.8%. In the fourth quarter, total company gross margin reached 44.1%, 130 basis points below last year's Q4, mainly driven by higher store occupancy costs and the addition of rag & bone. Adjusted SG&A expenses for the quarter increased 11% to $305 million. The most significant drivers of this change resulted from our acquisition of rag & bone, core Guess infrastructure investments, primarily in Europe as well as the incremental marketing investments that we are making to increase the exposure of the Guess brand and to build awareness for our new Guess Jeans brand. Partially offsetting these increases were the favorable impacts of one less selling week of operating expenses, currency translation, and lower performance-based comp. For the quarter, our adjusted SG&A rate increased 190 basis points to 32.7%. In the quarter, our adjusted operating profit totaled $107 million, and with a lower gross margin and higher SG&A rate, our adjusted operating margin declined 320 basis points to 11.4%. In the quarter, we recorded an adjusted effective tax rate of 17.6%. This resulted from the final distribution of taxable income among our various tax jurisdictions. Our final full-year adjusted tax rate was 24%. In the fourth quarter, we recorded $4 million in non-operating charges, primarily resulting from revaluation of certain of our foreign subsidiaries' net assets and liabilities into US dollars. One other item within non-operating activity, we reported a net charge of $19 million related to a non-cash unrealized loss due to the remeasurements of derivatives associated with our convertible notes and related hedge. Consistent with prior quarters, we have excluded this latter $19 million amount from the adjusted results we are reporting in order to facilitate a better understanding of our normal commercial operations. Adjusted Q4 diluted earnings per share was $1.48 compared to $2.01 in last year's fourth quarter. Moving then to the balance sheet. We ended the quarter with $563 million of inventory, up 21% in US dollars and 27% in constant-currency compared to last year. More than half of that increase relates to our acquisition of rag & bone, which we did not own a year ago. Inventories were up roughly 9% in US dollars in our core Guess business, almost entirely in Europe, where we accelerated product deliveries to support our growing business and mitigate against potential disruptions given the Red Sea crisis. Our goal is that once that situation is resolved, we can begin to reduce this working capital investment. Our receivables were $391 million, a 24% increase in US dollars and a 31% increase in constant-currency compared to last year's fourth quarter. As with inventory, one of the significant drivers of this growth is the acquisition of rag & bone as well as the overall growth in our Guess wholesale businesses. For the year, capital expenditures were $86 million, mainly driven by investments in store remodels, new stores, and technology in both the core Guess and rag & bone businesses, as compared to $74 million last year. We ended the quarter with $188 million in cash compared to $360 million a year ago. The most significant drivers of that $172 million cash consumption over the last four quarters include $199 million in dividends and distributions, including the special dividend paid in Q1, $57 million to acquire rag & bone, and $61 million in share repurchases. More than offsetting free-cash flow of $30 million, $90 million of net-debt proceeds, including the impact of our various convertible note transactions, and $40 million related to the gross proceeds from the sale of our US distribution facility. We ended the year with just under $400 million of borrowing capacity on our various global facilities, so roughly $588 million of available liquidity. We also announced today that our Board has approved our regular quarterly cash dividend of $0.30 per share. Turning then to our outlook for fiscal year 2026. We are expecting that in general, consumers will remain cautious in their spending given concerns over returning inflationary pressures and tariff issues. On top of that, both the war in Ukraine and the Red Sea crisis are not resolved, certainly impacting the European consumer and global supply chain. We did, however, see some improvement in retail trends compared to the earliest weeks of the first quarter, and we do expect the marketing initiatives that Carlos described will begin to drive some modest benefit as we move through the year. Despite these challenges, we still anticipate growth for fiscal year 2026 coming from a variety of sources. Carlos touched on the most impactful drivers of that growth. First, rag & bone, where we'll add both the extra two months before we anniversary the acquisition, plus their organic growth. Against their own full-year numbers, this business grew in the high single digits last year. And since the acquisition, our two teams have been collaborating to accelerate that growth. This year, we plan to open both full-price and outlet stores in the US, we've also been seeding European demand by marketing the brand in key European markets even before opening stores. This year, we've already opened one store in Amsterdam and plan to open two stores in Germany. Next, our Middle-East joint-venture, where we'll add both their organic results plus the full retail sales as we'll own that business deeper in the distribution channel. I'll also note here that as a joint venture, we'll also begin to consolidate that business's full P&L, including its operating costs, and record a minority interest impact below operating income. Next is Europe, where our wholesale business continues to grow. In our retail stores in Europe, while we again delivered positive comp sales in the fourth quarter, we have experienced traffic declines for the last few quarters, and most recently, those comps have turned negative. We expect that some of this is caused by the very recent softening of consumer sentiment, but we're monitoring demand closely and anticipate some level of improvement. Our outlook for the fiscal year assumes these comps will be roughly flat to slightly positive for the year. In the Americas retail business, our outlook assumes that the consumer environment generally remains stable with no further material deterioration or significant upturn in demand. Similarly, in Asia, where trends have been challenging, we're planning for those conditions to persist. With respect to the store closures in North America, we do not plan to immediately close the 20 stores that Carlos referred to. Those with leases expiring this year will simply close at their natural lease expiration. For the remainder, we plan to work with landlords to close them throughout this year. Ultimately, we expect all 20 will be closed by year-end. For the full year, we expect US dollar revenue growth in the range between 3.9% and 6.2%, with the core Guess brand and rag & bone both contributing significantly to that growth. For the first quarter, we expect US dollar revenue growth in the range between 5.8% and 7.5%, with the growth driven by rag & bone, given that we only operated that business for one month last Q1. Coming out of the first quarter, we will have anniversaried the rag & bone acquisition. With respect to currencies, as is our practice, we have based our outlook on prevailing currency rates. That should result in about a 1-point net currency headwind for the year with the strongest headwind in the first quarter, some lessening of that headwind in the middle two quarters, turning finally to a modest tailwind in the fourth quarter. So, considering both the operational and currency factors sequentially that should result in a US dollar growth rate that softens a bit coming out of the first quarter into the middle quarters, then increases again into the fourth quarter given the currency tailwind. For the full year, we expect an adjusted operating margin in the range between 4.5% and 5.4%. Given our revenue outlook, this should result in adjusted operating profit roughly in the range between $140 million and $170 million. The year-over-year change in operating margin is mainly driven by higher SG&A. With the majority of our year-over-year expense increase resulting from consolidating the full 12 months of rag & bone, the conversion of our Middle-East business to a joint venture, and higher marketing expenses. For the first quarter, we expect an operating loss margin between 5.6% and 4.7%. We expect the year-over-year operating margin decline to abate in the middle quarters with the opportunity for expansion coming in the fourth quarter. For the full year, we expect adjusted EPS in the range of $1.32 and $1.76, and for the first quarter, we expect an adjusted loss per share between $0.74 and $0.65. And just to reiterate what Carlos just said, our outlook does not include any impact from the new tariffs announced yesterday. This adjusted outlook includes the full ongoing operating results of the North American retail stores that we plan to close this year. We have, however, excluded from this adjusted outlook a $7 million related restructuring charge. That restructuring charge is included in the GAAP guidance that we have included in today's earnings release. For the full year, we expect free cash flow of about $55 million. So with that, we'll end our prepared remarks and open the call up to your questions. Operator?
Operator: Thank you so much. [Operator Instructions] Please stand by while we compile the Q&A roster. Alright, one moment for our first question, please. It comes from the line of Mauricio Serna with UBS. Please proceed.
Mauricio Serna: Yes, good morning. Good afternoon, sorry. Thanks for taking our questions. Maybe could you elaborate on thinking about the rag & bone brand? It's pretty good growth that you talked about. Could you think -- could you maybe elaborate a little bit more of what are the drivers that -- to be so optimistic about the brand continuing to grow in calendar year 2025 from an organic or comp sales standpoint? And then maybe also could you maybe talk about like -- what is happening in the Americas business? As you think about the strategy for that business in fiscal year 2026, like in terms of any visibility that you have for the Americas retail business to return to growth provided outside of the ongoing headwinds that we're seeing right now? Thank you.
Carlos Alberini: Yes. Thank you, Mauricio. Thank you for your questions. Well, so let me start with your question about rag & bone. I am so pleased. We are so excited about this acquisition. It was our first acquisition, a huge milestone for our company in the 44-year history that the company has. And -- but we couldn't have picked better match for what we could do to help and just positioning the company and the team that company has, the strength of the brand in the market is really very, very brilliant, and we feel that there is a lot that we can do with that team. Andrew Rosen has been leading that whole effort for us and that is another incredible addition to our team. He is a strong leader. He knows the markets extremely well. He's incredibly connected and he has a great vision for the company. He goes back many years with the original founders even and has been involved with this business for all those years. So he has tremendous history and knowledge of the business, and he has a very clear vision for where we should go with the business. We are very, very pleased with the results. We are excited about what is in front of us. We have opened several stores during our ownership with WHP. And also, we have plans to open many more stores. We just opened one store in Amsterdam. It's the first after the UK presence that the brand already had with two stores in London, this is the first store in other areas of Europe, and we have plans to open several more. We already have two locations that are going to be opening in Germany, and we are looking into many other markets. The business in North America, the US has been very strong and this impacts both the wholesale business and also the direct-to-consumer business. And specifically about the fourth quarter, we had a very strong fourth quarter in e-commerce. And we are very pleased because the margins have been very healthy. So, it's not driven by promotional activities, but more by the strength of the product collection that we are putting in front of the customer, and we have some new products that have been doing extremely well. You may have seen them in several shows. They featured a product called [indiscernible] and we are very pleased with the performance and the potential of that collection to really expand into other categories and become even a bigger story. We are very excited about what the brand can do outside the US and we thought that this was something that we could bring with significant strength from the Guess platform and capabilities. And in addition to the stores, we are also including -- doing a lot of marketing and advertising in those markets. Paul has been very actively investing in marketing campaigns throughout Europe and also in the US, and we think that this should also be helping. And then in addition, in terms of product categories, we have been very actively working on licensing deals. Paul also negotiated a great deal with our current licensee for handbags to do the handbags of rag & bone and you can find those in the stores as we speak and online and we see a lot of opportunity there. And there are several other deals that he is working on, including fragrances and some other eyewear and some other opportunities on product. We have a big plan for the current fiscal year for rag & bone and we think that the opportunities are pretty significant to get a very, very strong growth for this year, partially with new stores. We are -- we have many new stores coming on board in the US for both full-price and some outlet stores as well. And we have, as I said, several stores in Europe, and we are also pretty actively working on wholesale expansion in Asia as well. So a lot happening there, and we couldn't be happier with the team and how we are working together. We love the brand. We think that this brand should be and can be and will be a lifestyle brand for women and men and just with a global presence. So very excited about that. Your second question about Americas, and just I talked quite a bit in my prepared remarks about how we are thinking about our retail business. As we looked into the past, we have lost meaningful productivity in our retail stores. We have been in this market for decades, and during all that time, we used to have just more -- higher productivity in many stores and we have lost some of that. We believe strongly in having key retail locations. We think that there are several things that we can do, and our leadership team has spent considerable time developing a plan. And just the big areas where we are planning to work on is, one is product. We have decided to develop an exclusive collection of product within or for our retail offering and that would definitely impact our North America business. We are also planning to enact something that we used to do quite a bit in the past. But we are not doing that much of right now and it's a speed-to-market model, just to really be able to capitalize on current trends that we see that maybe were not including the original collection and also to be able to replenish best sellers that are selling well and more effectively before the demand slows down within that season. We are leaving open now, this is a new thing. We're leaving open about 50% of our open-to-buy and for the stores to support this model. And we are also working on a new clusterization model. What we are trying to do here is to be a lot more granular in terms of how we buy product and allocate product per store. So we used to just be more limited in terms of clusters to the size of a store or the sales that that store had delivered in the past. Now we are looking at things that include price sensitivity, weather characteristics, casual versus dressy preferences by the customer and also we plan to look into the customers' purchasing history per store to be able to really optimize this model. So we have a big thing. Another big, big area that we plan to attack and we are already acting on this is pricing. We feel that just we have increased prices very meaningfully over the last -- since COVID, let's say. And we think that the -- as we look into our trajectory and the recent results, we think that there are several opening price points where we could offer more product. It's not that we don't have those opening price points in the assortment today, but we think that we could have a larger assortment within those price points. So that's what we're going to be doing. And as a result of that, we'll be increasing the offering in key categories, and we are analyzing this by-product category. As you know, our business is rather complex. So, this is a pretty significant objective. But we have teams already working on all this, and we expect to really be able to impact the second half of the year with this. We know that the consumer today is looking for value, and they are a lot more price-sensitive. So we think that this can be a big driver of success for us. We are also working on visual merchandising. Our assortment of products in terms of the different categories that we carry, just is very rich, but that makes it very complex, and it's difficult when you walk into a store to be able to understand the product story. So we want to focus on that, provide for an easier navigation in stores and even in our websites. And we want to optimize the space that we give to each product category based on category potential. This is a challenging model, but we think that we are on our way. We have very competent people looking into this. And we are even developing a new store concept with optimum space allocation per category, and that is something that is going to impact all new stores. The last big point is about customer experience and what the customers see. So we are also improving our imagery and navigation of websites and social media. We are trying to perfect our omnichannel integration and increase in social media spending. And just I'm sure you heard my comments about doing a whole project on marketing and social media strategy, we are using a third party called General Idea, who is helping us with this and Nicolai is leading this chart internally. So a lot going on, but a lot -- we see a lot of opportunity. We think that we still have very, very key locations throughout the market. And this includes not only the US, but also in Canada, a market that we love. And we think that we can really increase our store productivity. We have not embedded into our numbers a significant impact for this. So, hopefully the -- our performance is going to prove that those numbers were conservative.
Mauricio Serna: Sounds good. Thanks for all the details, and best of luck.
Carlos Alberini: Thank you, Mauricio.
Operator: Thank you. [Operator Instructions] One moment for our next question, is from Eric Beder with Small Cap Consumer Research. Please proceed.
Eric Beder: Good afternoon.
Carlos Alberini: Hi, Eric.
Eric Beder: Want to talk a little bit about the opportunity for Guess Jeans. How should we be thinking about that as an emerging opportunity in the US in terms of wholesale-retail, and what are you seeing in terms of the reactions to your initial stores in Europe?
Carlos Alberini: Thank you, Eric. Well, as you know, we are very excited about Guess Jeans. This is another big opportunity for us. We have -- I think that the team that really launched this brand and that is Nicolai and his team. They have done a great job in articulating what the vision for the brand was and also showing how critical certain aspects of the -- how this plan and vision were put together, including the focus on sustainability, the focus on really having product that is significantly aligned with what that younger customer is looking for, the Gen Z customer, but also seeing that there are opportunities for anybody to dress, wearing the product for both men and women. So we -- and the events that were carried to launch this and to make this story known, I think were really great. I'm talking about things in Milan, a big event there, then a big event in PT Walmart. This happened twice now because we went back with big exhibition. I'm talking about thousands of people that came to see and have the entire experience. And I think at all this, of course, included many, many customers, especially from Europe but also from Americas and that came and I'm talking about wholesale customers that came to really view this and experience the brand. And I think that that created a lot of energy and a lot of support for the brand. So we had a very strong launch and the business has done better than what we had expected. Most of that business is wholesale-based and most of that wholesale distribution is -- has been in Europe. And just this includes several countries. I think that the number-one performer is Italy, but we have many great stories across different countries, including Russia and others. We are also bringing the brand to the US but the start of this has been a little bit slower. We're thinking about strengthening our wholesale team to give more focus to that particular strategy. I mentioned during my prepared remarks about the promotion of Ufuk Memoglu to Chief Commercial Officer and one of his responsibilities is Guess Jeans and he's looking for somebody that can really run this part of the strategy, and we are excited about that. With respect to the stores in Europe, this -- there are only two stores open -- three stores open now. And the results, I think that just we could do better. We are looking at the mix of products that we have there. Also, the initial launch had a collection that did not address fashion in a very significant way because at the time, we thought that going more with a basic collection would be better. But as we roll over three seasons now, the customers -- wholesale customers have been asking for more fashion. So the collection today is a lot richer in fashion. And that is we feel that -- and we think that that is going to impact our performance at the retail level as well. We are opening one store in Melrose in -- here in West Hollywood in a couple of months -- a few months. And we think that that is going to really bring a lot more of awareness to the brands in this market and we are also going to open a flagship location in Tokyo, it is an incredible location, and we feel that that is going to bring a lot of energy to that market, the market of Japan. And I'm sure you saw there was a press release where we announced that Guess Jeans through Nicolai and was able to sign a collaboration with VERDY who is a very high-level Japan -- I think they call him Japanese multi-hyphenated artist. VERDY has done incredible things there and is a very high figure in the Japanese market and very relevant to this customer group that we are looking to attract into the brand. So, I'm very excited about Guess Jeans. We think that this is definitely going to be a big $100 million-plus opportunity very soon. And we think that just is just a matter of expanding our distribution. The great thing is that we've got a lot of points of distribution with our customers at wholesale. So the product is becoming a lot more available and accessible. And of course, just we opened a website just representations for Guess Jeans as well.
Eric Beder: Okay. Question on wholesale, actually not wholesale, but more of an opportunity. So you took over the G3 portfolio with licensed portfolio for dresses and outerwear. This will be your first full year for both of those. How should we be thinking about the opportunity for that? And when you look at your license portfolio, are there other opportunities to take back some of the licenses and control directly? Thank you.
Carlos Alberini: Yes, Eric, our -- the dresses part of the G3 business just were not a huge business, but we thought that it was a very natural integration for us because we were already doing a lot of dresses for many of our businesses, including both Guess and even Marciano, but in addition to that, outerwear was definitely a big, big business and we are very pleased that we brought this back. We have significant know-how within our capabilities with our team, and I think at the outerwear collection that we have now to really represent that business is really a great collection and is doing very well. And we -- so we are very pleased with that transition and the way it has been integrated into our operation. A lot of this is supported by our platform in Europe and which is kind of like at the core of our sourcing and product development for the entire company now since we consolidated our efforts there. But with respect to our licenses, really, I think our -- one strength of our company is the tenure of the licensing relationship that the company has had for many, many years in many cases like 30-plus years and so forth. And I think that that makes -- I think the -- that business very successful and how the product integrates with the rest of what we do internally, very seamless and represents the brand with great integrity and with consistency across all markets and across product categories. So just that we are, of course, every now and then we'll have changes and so forth and this could impact both product categories or territories. But overall, we like the long-term relationships that are strong where there is trust, where there is significant respect and a great spirit of collaboration between the teams. And we think that that makes what we offer to the customer a lot stronger. So, we don't have any plans to discontinue anything for now. But of course, you can always have changes. But if you look at the tenure that we have with our biggest licenses, that for sure goes back several decades.
Eric Beder: Great. Good luck for 2026 -- 2025, excuse me, and 2026.
Carlos Alberini: Yes. Thank you. It's fiscal 2026 for us. So it's fine. Thank you, Eric.
Operator: Thank you. And this concludes our Q&A session for today. I will turn it back to Carlos for final remarks.
Carlos Alberini: Thank you, operator. Well, thank you all for your participation today. We are all navigating through uncertain times right now, but we feel that we are well-positioned and we have a clear strategy to grow our business, improve profitability and create value for our shareholders. So as we have done at all times, at times like this in the past, we'll continue to manage our business with a focus on what we can control. We have a great team here that is highly motivated and ready to take this company to the next level of growth and profitability and we are excited about the future. So thank you again and have a great day.
Operator: And thank you all for participating in today's program. You may now disconnect.